Operator: Good morning and welcome to the Cboe Global Markets 2020 Fourth Quarter Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, today’s event is being recorded. I would now like to turn the conference over to Debbie Koopman. Ms. Koopman, please go ahead.
Debbie Koopman: Thanks, Steve. Good morning and thank you for joining us for our fourth quarter earnings conference call. On the call today Ed Tilly, our Chairman, President and CEO will discuss our performance for the quarter and the year and provide an update on our strategic initiatives; then Brian Schell, our Executive Vice President, CFO and Treasurer will provide an overview of our financial results for the quarter and the full year as well as discuss our 2021 financial outlook. Following their comments, we will open the call to Q&A. Also joining us for Q&A will be our Chief Operating Officer, Chris Isaacson; and our Chief Strategy Officer, John Deters. In addition, I would like to point out that this presentation will include the use of slides. We will be showing the slides and providing commentary on each. A downloadable copy of the slide presentation is available on the Investor Relations portion of our website. During our remarks, we will make some forward-looking statements, which represent our current judgment on what the future may hold. And while we believe these judgments are reasonable, these forward-looking statements are not guarantees of future performance and involve certain assumptions risks and uncertainties. Actual outcomes and results may differ materially from what is expressed or implied in any forward-looking statements. Please refer to our filings with the SEC for a full discussion of the factors that may affect any forward-looking statements. We undertake no obligation to publicly update any forward-looking statements, whether as a result of new information, future events or otherwise after this conference call. During the course of the call this morning, we'll be referring to non-GAAP measures as defined and reconciled in our earnings materials. Now, I'd like to turn the call over to Ed.
Ed Tilly: Thank you, Debbie. Good morning, and thank you for joining us today. I hope 2021 is off to a great start for everyone and you're keeping safe and well as we continue to navigate this pandemic. I'm pleased to report that Cboe posted solid fourth quarter and record full year results, highlighting the strength and diversification of our global business. For the year, we grew net revenue by 10% and adjusted earnings per share by 11%. Despite an unprecedented, a macro environment that for much of the year did not favor index trading. Our results were driven by record trading volumes in U.S cash equities, and multi list options, fueled by strong retail trading, growth and recurring non-transactional revenues, and increased efficiency enabled by our fully integrated superior technology. Importantly, while achieving strong growth, we continue to successfully execute key growth initiatives to advance our strategy to leverage product innovation and superior technology, expand our customer base, and diversify our business mix with recurring revenue. We also maintained our commitment to operational excellence in 2020, as evidenced by the continuity and resiliency of our markets, despite the years unrelenting challenges. Our ability to provide reliable and continuous markets in that environment, while continuing to execute key strategic initiatives and post strong growth is a testament to the dedication and expertise of our entire global team. Additionally, our record results and strong cash flow generation enabled us to return $520 million to shareholders in 2020, a new all time high and a 69% increase compared to 2019. Our commitment to returning capital to shareholders will continue in 2021 and beyond reinforced by today's announcement regarding the Board's authorization of additional share buyback capacity. Turning to our targets and expectations for this year. We plan to leverage the deals we closed in 2020 to accelerate organic growth in 2021. Brian will do a deeper dive on this, but we plan to invest approximately $25 million in organic growth initiatives in 2021, which we expect to contribute to an incremental top line compounded average organic growth target of 4% to 6% over the mid-term. As you've seen since our IPO, we have also allocated capital inorganically to help accelerate our strategy while returning capital to shareholders. Over the past 4 years, we have delivered 5% compound annual net revenue growth, while growing adjusted EPS by 19% on a pro forma basis, which reflects the strength of our strategy and our ability to perform in the most challenging cycles. The success of our ongoing diversification reinforces our confidence in continued growth. Additionally, while we're only 5 weeks into the new year, we're beginning to see institutional investors reengage in trading our index options and volatility products. In January, month-over-month volume increased by 77% in VIX futures, 68% index options and 15% in SPX options. As we've noted in previous calls, we expected to see reengagement in these products once there was more clarity around the political and pandemic uncertainty that clouded investors views and where the market was headed. Although much uncertainty remains are on the COVID-19 pandemic, the vaccine rollout has begun. The new U.S administration is in place and the Brexit deal has been executed. We believe we will continue to see increased trading on our index products as the uncertainty of these and other previous market unknowns come into focus. Additionally, in response to customer demand similar to the futures, we are planning to extend the 24x5 trading model to VIX and SPX options in the fourth quarter of this year, subject to regulatory review. Over 15% of trading in VIX futures, which already trade 24x5 took place in non-U.S trading hours last year, up from 13% in 2019. Naturally, we believe 24x5 trading in VIX and SPX options will result in increased trading outside of U.S hours as well. We began the year with a considerable amount of momentum from strategic progress made in 2020. We are excited about both near and long-term opportunities to grow and expand our business driven in part by increases in proprietary product trading, recurring revenue and retail engagement, while continuing to invest in long-term growth. Our ongoing strategy, which has reinforced the value of our unique platform and fueled our strong year-over-year growth, remains consistent, further strengthen our core proprietary products, leverage our superior technology, increase recurring revenue, broaden our geographic footprint and expand our product line by asset class. We have exciting initiatives underway within each of these strategic pillars. But today I'd like to focus on four incremental growth drivers. The opportunity to grow non-transactional revenue through Cboe Information Solutions, our plans to launch Cboe Europe Derivatives, expand BIDS Trading and grow our retail trading base. We're excited about our prospects to further increase recurring revenue to expanding and enhancing CBOE Information Solutions, our comprehensive suite of data solutions, analytics and indices. These products generate recurring revenue by providing market participants with value added trading resources and support transactional growth in our proprietary products with tools that draw users to our markets and drive volume as they reestablish trading positions. As discussed in previous calls, last year's expansion of our Information Solutions offering through key acquisitions accelerate our ability to grow our recurring non-transactional revenue. In 2020, we reported 12% growth in recurring non-transactional revenue and 9% organic growth, and we expect to see incremental sustainable long-term growth as we continue to optimize these integrations in 2021. Importantly, our expansion of information solutions now allows us to interact with an add value to market participants at every step of the trade process. We are looking to enhance these customer support opportunities in 2021 with additional portfolio and risk analytics offered through various delivery mechanisms, including Cboe Silexx, our proprietary order execution management system, and through our APIs. Additionally, we plan to expand our market intelligence analytics and alerts to many market segments including retail traders. We also plan to expand our global indices platform, which provides index calculation development and services with real time distribution channels. Finally, we expect to further expand our offering of unique historical data sets and add high demand data sets like cryptocurrencies to the Information Solutions data suite. Turning now to the upcoming planned launch of Cboe Europe Derivatives. I’m pleased to say we are on track to launch in the second quarter of this year, pending regulatory approval, bringing to fruition our vision to unlock the potential we see for considerable growth in this market. Our highly successful European equities business, global derivatives expertise and ownership of EuroCCP uniquely position us to simplify and bring new efficiencies to pan-European derivatives trading and clearing. We’ve worked closely with market participants in shaping our plans and have received very positive customer feedback and support. During the fourth quarter we made strong progress on the technical build-out of the exchange and clearing platform and toward achieving the necessary regulatory approvals. Customer testing and optimization is ongoing, and we have commitments from clearing firms, order flow providers and market makers to be there on day one. As we’ve said before, we think this market is ripe for significant structural growth. We are not aiming simply to take market share from incumbent exchanges; we intend to reshape and grow overall derivatives trading in Europe with a novel market structure designed to attract both new and existing participants. While our revenue expectations for European derivatives in 2021 are modest, we are investing for long-term growth and looking for a gradual revenue build as we gain traction and expand our product offering to realize what we view as a paradigm shift in European derivatives trading. Our new Amsterdam exchange, which we launched in 2019 in advance of Brexit, will serve as home to our derivatives business in the region. I’ll also note here that the flawless implementation of our Brexit strategy enabled us to seamlessly transition trading from our U.K venue to Amsterdam at the start of the year. Also, as a result of Brexit, we were excited to welcome back trading of Swiss shares on our U.K venue yesterday. We are working with customers to re-establish our market share in Swiss equities trading, which was approximately 8% of Cboe's notional value traded in June 2019 when Swiss trading was last available on our market. Turning now to our acquisition of BIDS Trading, which we completed at the end of the fourth quarter. We are pleased to welcome Tim Mahoney to the team and the Cboe family. We have a successful track record of working with BIDS, which powers Cboe LIS, one of the largest block-trading platforms in Europe. While BIDS will continue to operate as an independently managed venue, the acquisition helps enable us to expand BIDS’ block trading capabilities and services to other products and geographies, including Canada, as we look to further expand our presence in North American equities. We are well underway with our integration of MatchNOW, the Canadian ATS we acquired last year, and the BIDS acquisition provides additional features that we believe will help us disrupt the electronic block market in Canada and other markets in the future. BIDS has an extensive global network of more than 460 buy-side investment managers and sell-side constituents, which differentiates the platform and provides a strong foundation from which to expand into new markets. BIDS also provides us with a foothold in the off-exchange segment of the U.S. equities market, which now accounts for over 45% of overall U.S. equities trading volume. Moving on to retail trading, we believe the resurgence of the retail investor we saw in 2020 is here to stay. We are well-equipped to deliver tailored products and services to meet the needs of this growing customer base and to evolve our education programs with retail-centric content to empower these new investors. Product innovation remains a core focus of the Cboe franchise, and we plan to continue to expand our proprietary product offering with smaller contract sizes that appeal to both sophisticated retail traders and institutional investors. This includes Mini VIX futures and Mini SPX options, our recently announced Mini Russell 2000 index options, as well as additional retail-focused products in our pipeline, which will extend our value add to a broader universe of investors. Our strategy to nurture growth in these products, which is driven by a cross-functional team focused on dedicated client services, targets marketing initiatives and robust investor education, is well underway. Additionally, we continued to see increased retail trading in U.S. equities and record volume in our Retail Priority program, which helps improve execution quality and trading outcomes for individual investors and firms that facilitate their orders. Volume in Retail Priority orders represented over 31% of total volume on Cboe EDGX with the exchange reaching record market share of 7.3% in the fourth quarter. In January, trading on EDGX set a new monthly average daily volume record, as did retail priority orders which were up 56% over December 2020. We’re excited to see growing retail engagement in the marketplace, and are well-positioned to invest in and leverage our core strengths, product and market innovation, technology, strong customer relationships, and investor education to support this growing user base. We believe our investments in this area will benefit retail investors and create another, sustainable, long-term growth opportunity for Cboe. With that, I’ll turn it over to Brian to walk through our 2020 performance and 2021 outlook in greater detail, and then I’ll provide some closing remarks.
Brian Schell: Thanks Ed, and good morning everyone. I hope all of you and your families remain safe and healthy. Let me remind everyone that unless specifically noted, my comments relate to 4Q20 as compared to 4Q19 and are based on our non-GAAP adjusted results. We reported solid financial results for the quarter, again, highlighting the diversification of our revenue streams and the contributions from our investments and acquisitions, reinforcing our strategic initiatives. Our net revenue increased 10%, with net transaction fees up 8% and revenue from our recurring non-transactional revenue up 16%; adjusted operating expenses increased 17%; adjusted EBITDA of $206 million was up 4%; and finally, our adjusted diluted earnings per share was $1.21, flat to last year. Turning to the key drivers by segment. Our press release and the appendix of our slide deck includes information detailing the key metrics for each of our business segments, so I’ll just provide summary thoughts. The growth in our options segment was driven by a continuation of strong trading in our multilisted options and higher revenue from proprietary market data, offset somewhat by lower volumes in our proprietary products. Revenue from North American equities decreased as a result of lower data, revenue from the SIP, including lower SIP audit recoveries. Off-exchange or TRF volume hit new highs again in the fourth quarter, impacting our market share. In Futures, the revenue decline was caused by lower trading volume in VIX futures. The revenue increase in European Equities primarily reflects the addition of EuroCCP. In FX, increased ADNV drove higher transaction fees and growth in access and capacity fees contributed to higher non-transactional revenue. We’re also proud to announce our market share surged to a new record high of 16.7%. Turning to expenses, total adjusted operating expenses were about $112 million for the quarter, up 17% against last year’s fourth quarter. Excluding the impact of acquisitions, adjusted operating expenses were up 4% for the quarter and actually down 2% for the year. The majority of the expense variance related to the acquisitions was compensation and benefits. Turning now to our 2021 guidance. As Ed noted, our plans for 2021 and beyond call for continued investments to drive long-term sustainable growth in our business. For 2021, our organic revenue target is a growth rate of 6% to 7% from our recurring non-transactional revenue, which we define as access and capacity fees plus proprietary market data fees. Similar to prior years, we anticipate the majority of this growth to be driven by additional units versus pricing changes. After incorporating our ISG acquisitions, we expect the reported or total growth rate for this category to be 7% to 8%. In the aggregate, we expect the acquisitions closed in 2020 to contribute additional growth of 4% to 6% in 2021. Longer to mid-term, we are targeting organic top line compounded average growth of 4% to 6%. Given our growth plans and strategic opportunities, we are planning incremental investment of $24 million to $26 million in 2021 to help increase that growth rate in the future, which I’ll discuss further in a moment. Moving to our expense guidance. We expect adjusted operating expenses to be in a range of $531 million to $539 million versus $416 million in 2020. The projected $115 million to $123 million year-over-year expense increase falls into three main categories, 2020 normalization, core and incremental investment. First, 2020 normalization. Approximately $71 million, or nearly 60% of the increase, is due to incremental expenses from 2020 acquisitions or about $55 million, which will contribute to our long-term growth profile, a non-recurring savings in 2020 that we do not expect to repeat in 2021. The non-recurring savings realized in 2020 include; a, COVID-related savings; b, favorable accrual adjustments related to incentive compensation and facilities expenses; and c, delays in hiring, which were also caused by disruptions related to COVID-19. If you normalize our 2020 expenses for these items, the projected expense increase is approximately 10%. Based on the current market outlook, we expect these costs will recur in 2022 and beyond, although as we demonstrated in 2020, we are able to optimize our costs to preserve our differentiated track record of margin expansion. Second, core expenses. We expect these expenses to increase by approximately $14 million to $18 million, or 3% to 4% growth. This category includes our annual compensation adjustments, incremental infrastructure costs and otherwise general price increases. However, should we remain in a more locked-down state for an extended period of time in 2021, the expected expense growth should be muted. We expect to also incur incremental facility overlap costs of approximately $7 million to $8 million as we transition our Chicago headquarters and other office space. We do not expect the majority of this cost to recur in 2022. And finally, incremental investment. As Ed highlighted earlier, in support of our strategy, we plan to invest approximately $24 million to $26 million in 2021 to drive incremental and sustainable long-term organic revenue growth in high-conviction, high-return opportunities. This includes $9 million to $10 million for our previously announced European Derivatives build out, as well as investments aimed at supporting growth in index options and futures, including developing, listing and distributing unique products and enhancing marketing, education and content as well as our efforts to tap into the growing base of retail investors, among other initiatives. As we have demonstrated in the past, we have the flexibility to adjust the magnitude of our overall spend through the year. Should market conditions for our transaction revenue weaken, there are multiple levers with which we may adjust our investment levels to help realize the strong underlying margin profile of our business model. As the year develops, we will revisit how we are calibrating our investments to the current market reality to optimize both margins and long-term growth potential. Turning to our summary of full year guidance on the next slide, we expect depreciation and amortization to be $38 million to $42 million for 2021, compared to $34 million in 2020. This excludes amortization of intangibles of approximately $116 million. Moving to income taxes, our effective tax rate on adjusted earnings for the quarter was 28.6%, above last year’s fourth quarter rate of 24.7%. Absent the higher tax rate, earnings per share would have increased 6%, which reflects the impact of higher adjusted earnings netted against the incremental benefit of reducing our share count by nearly 3% over the last 12 months. Our full-year 2021 tax rate on adjusted earnings is expected to be in a range of 27.5% to 29.5%, versus 28.1% in 2020. Finally, we expect 2021 capital spending to be in the range of $60 million to $65 million, reflecting expenditures for the build out of a new trading floor and higher investments in technology and infrastructure to support our acquisitions and other growth initiatives. We expect 2021 to be an above trend-line CapEx year due to the various investments noted, and over time, we expect CapEx to return to a more normalized level of $40 million to $45 million. While we are not providing full year guidance on interest expense, we wanted to highlight that absent any additional borrowing and significant changes to LIBOR, our quarterly interest expense for the first quarter of 2021 is expected to be $12 million to $13 million, which is slightly lower than the 4Q 2020 numbers, which include incremental fees related to refinancing costs. Moving to capital allocation. Our priorities have not changed as we remain committed to investing in our growth strategy while returning excess cash to shareholders through dividends and share repurchases. As you heard from Ed, recent acquisitions of EuroCCP and BIDS reflect conviction in our ability to deploy capital, to enhance organic growth and strategic value over time, leveraging the robust technology at the core of our strong operating leverage profile. From a capital return perspective, our record financial results in 2020 and cash flow generation enabled us to return the highest amount of cash to shareholders since becoming a public company. We plan to continue being opportunistic with share repurchases as highlighted by this morning’s announcement of up to an additional $200 million in buyback capacity, bringing our total availability to approximately $400 million as of the end of January 2021. In December, we completed a $500 million bond offering used to fund the BIDS acquisition, repay amounts outstanding under our revolving line of credit and a portion of amounts outstanding under our term loan, as well as other general corporate purposes. Our leverage ratio increased to 1.4x at December 31 from 1.1x at September 30, due to the higher debt outstanding. We ended the year with adjusted cash of $210 million, reflecting in part, higher balances associated with additional regulatory and operating cash needs for EuroCCP. Now I’d like to turn it back to -- over to Ed for some closing comments before we open it up to Q&A.
Ed Tilly: Thanks, Brian. In closing, we are extremely proud of the results we delivered last year and are optimistic about opportunities to leverage our recent acquisitions to grow our business. Our operating results highlight the strength of our diversified business and our team’s consistent execution of our strategy. By further strengthening our core proprietary products, leveraging our superior technology, increasing recurring revenue, broadening our geographic footprint, and expanding our product line by asset class, we will be well-positioned to achieve our mission to build one of the world’s largest global securities and derivatives trading networks. The investments we plan to make this year are expected to contribute to our long-term growth in 2022 and beyond. We also plan to continue to exercise disciplined expense management and efficient allocation of capital to create long-term shareholder value, and believe we have the people, technology, and expertise to continue to define markets in a very powerful way.
Debbie Koopman: Thanks, Ed. With that, we would be happy to take questions. We ask that you please limit your questions to one per person to allow time to get to everyone. Feel free to get back in the queue. And if time permits, we'll take a second question. Steve?
Operator: [Operator Instructions] And the first question comes from Rich Repetto with Piper Sandler.
Rich Repetto: Yes. Good morning, Ed. Good morning, Brian. I guess my question is on the expenses. And this is on Slide 13 and thanks for the walk or the breakout. But I guess Brian, the two parts is just of the $55 million in -- from M&A, how much revenue offset direct revenue? Because I no BIDS is probably in the 40s in there. And then you're assuming that, I guess the COVID situation, you don't have those savings. Is there a way that you could sort of walk us through if you assume that we're in this lockdown, semi lockdown to midyear, which probably seems more like, what's happening right now anyway. So anyway, those are two questions on it.
Brian Schell: Sure. Thanks, Rich. I would say that without getting specifically with each expense for each of the transactions from 2020, each deal that we did, I think we announced that they were accretive or neutral. So you would have an expectation, and we gave a broad range of the revenue expectations across the prior year, so that 4% to 6% on prior year. So I think that gives you a pretty good gauge of where we expect the revenue more than offset the expense adjustment to that we've noted here on as you mentioned Slide 13 for the $55 million. So in the aggregate it's going to be accretive as we noted previously. On the $16 million, I think, as a rough framework -- and again, it's your guess is as good as mine and obviously we've got to put a number out there that we're kind of reflecting in our expense guide as far as 2021. Of the three categories I kind of mentioned, I would say high level, it's probably like a third, a third, a third relative to continued savings for -- if there's continues to be some lockdown and we really don't do anything during '21 as far as some of those incremental expenses that we have. Some of that savings delay from the delayed hiring was probably a third of that. And then the one-time savings is about a third that we won't get the benefit. So that kind of gives you a frame of reference of, like I said, with the COVID-19 related expenses and how that might expense -- impact the expenses for '21.
Rich Repetto: Got it. Thank you. Go Bucs go Brady.
Brian Schell: Oh, geez.
Operator: Thank you. And the next question comes from Ken Worthington with JPMorgan.
Ken Worthington: Hi, good morning. How should we think about the level of additional investments spent embedded in the 2021 guidance, so you call that $25 million. As we get into 2022, what is truly one-time? And what part of that $25 million would be expected to continue or even increase in 2022 and beyond?
Ed Tilly: Thanks, Ken. Again, really good question. As we think about this, and it's of the first spend of the build out. And again, I don't get too specific on some of this, but I would say that going forward versus '22, certainly a portion of that European Derivative build out will sustain for into '22. So I'd say about a -- could be up to a quarter of that will not repeat as we go forward because there's a incremental investment in the upfront years. Some of that was in '20 and obviously you're seeing our projection for '21, as far as that build out. As far as the strategic growth initiatives, and that will vary based on what we end up spending as far as how much of that is permanent and fixed versus on a go-forward basis. So I think that it's going to be -- and again, we'll provide more guidance to this as we move forward. As we look at where the actual level of investment is, it's -- again, it's looking at the total dollar amount, again, will be geared toward that longer term growth rate of the revenues of where we're seeing it projected. So, again, it's a spend -- I want to remind everyone that that's a spend to really grow that top line revenue for the long-term. And so the upfront investment spend as we said with derivatives, as we said before, will have to occur before the actual revenue show up and certainly in '21 we're planning. So I would say stay tuned, but certainly a portion of that, and I'm hesitant to give you a fixed number right now will be variable and not occur in '22.
Ken Worthington: Okay, okay. Thank you very much.
Operator: Thank you. And the next question comes from Dan Fannon with Jefferies.
Dan Fannon: Thanks. My question is on kind of retail and some of the initiatives you're talking about it from the spend and -- so maybe what percentage of your business today do you think comes from retail. And I guess also what makes you confident that the retail pickup is sustainable to make these levels of investments today?
Ed Tilly: Good. This is Ed Tilly. Let me start and invite Chris to jump in. But sustainable, I think we've just seen an incredible demand that began last year, it continues, it tends to be in single name options. So our education will be focused on the basics, first. The educated investor is the one that's in day in, day out, year in, year out. And that's really what we will be targeting. So the responsibleness, the suitability, what derivatives and how derivatives can change the risk profile for investors is really what we'll be concentrating on. And I think just even recently, we had 730 participants in our series of 21 for 21, which is 21 invest -- investment strategies for 2021. It's an incredible amount of turnout early on. So we're gauging the continuation by the interest in education, we're committed to it. So the investment we make is for the long-term, and that conversion from Straight Delta One Trading and Derivatives is really where Cboe's effort will be most concentrated. And then Chris, maybe a little bit on the mix, and what we see coming in on various products and how that's different across the uniqueness of our products.
Chris Isaacson: Sure. Thanks, Ed, and thanks for the question, Dan. So in addition to our education efforts what Ed mentioned, we're also rolling out products. We rolled out retail priority on our EDGX equities market. As Ed mentioned in his script, we had a record volume there above 700 million shares. Retail priorities now 3% -- almost 3% of the entire U.S equities market because retail investors and those who are facilitating those orders are getting better quality execution. So that's an equities. And then as we mentioned also during the script, we're rolling out products of more retail size, with many VIX futures, many SPX or XSP. We just announced [indiscernible] and we have some other things we're thinking about as well to appeal to this new retail investor base, this new wave of new generation of retail investors. So our goal is to empower and educate them about our products across our asset classes to arm them with what they need to be very successful for the long-term. That's why we believe this can be sustainable for years to come.
Dan Fannon: Great. Thank you.
Operator: Thank you. And the next question comes from Alex Kramm with UBS.
Alex Kramm: Hey, good morning, everyone. Hopefully, last question on the expense side and sorry if I missed this in the prepared remarks, but the facilities costs one of those going to go away. So I guess how long is the overlap? And then secondarily, you didn't talk about cost synergies? It's always the M&A number of $55 million, is that a ex synergy number or are these deals really not cost synergy opportunities anyways, given that they’re more bolt-ons? Thanks.
Ed Tilly: Thanks, Alex. No, you weren't sleeping. So you -- we didn't cover those explicitly. So thanks for the question. As far as the overlap, we participate the majority of that to go away following into '22 as we transition the sites. And on the expense side, as far as the ramp up goes, almost while really those transactions were not a cost play. Those were, I would say, more gaining new capabilities and where we want to be in more on the revenue side. So we don't anticipate any expense synergies there.
Alex Kramm: Makes sense. Thanks.
Chris Isaacson: Alex, I might just jump in on the expense side. So there's -- as Brian said, there's different synergy places as we highlighted -- as Ed highlighted, especially Information Solutions is a great example of this where we really those are purchases that we made in order to grow to build what we believe is a world class Information Solutions platform. And so this is about fueling growth, not cost synergies.
Alex Kramm: Yes. Understood. Thanks again.
Operator: Thank you. And the next question comes from Ken Hill with Loop Capital.
Kenneth Hill: Hey, good morning, everyone. Ed you touched on this in your prepared remarks a little bit, but I was hoping you could talk about the long-term aspirations. Cboe has around crypto given you guys have had a product on the future side in the past. The ETF side has been pretty challenging for everyone involved. But overall this is an asset class that continues to grow and standing. It's becoming more important to institutional to retail. So you touched a little bit on the agreement you have with CoinRoutes I think to provide indices and data to an environment that's kind of murky. So I'd love your thoughts on, A, what that kind of will involve, and then kind of how you see that environment ecosystem more broadly growing over time and what role Cboe plays there?
Ed Tilly: Boy, I love the way you framed that. The ecosystem is really what we were after when we launched, albeit probably a bit early a few years ago. We too saw the potential and the interest and while not a huge asset class as measured by AUM, certainly by turnover in trades. So we know there's a great deal of interest from the trading community and growing interest as you point out institutionally for some exposure. So when I warm up like that, you can tell that we are planning how to reenter the space, very measured and cautiously. But I could not describe it any better that the importance of the ecosystem what we see by vibrant derivatives markets, cash settled markets, retail accessible markets, you mentioned ETPs, and ETNs, all very important for a successful exposure to crypto. So in the planning stages, but we plan on reentering that market over time, and it's just a matter of us right now on prioritization. So stay tuned in development and want to get back into the space.
Kenneth Hill: Understood. Thanks very much.
John Deters: Ken, this is John. Just to follow-up on that. It's -- the CoinRoutes you touched on the CoinRoutes partnership. We'll start with transparent pricing and a regulated framework. When we weren't crypto earlier, that was our approach. We think that the ecosystem in crypto is that much further developed, it's a rapidly developing space. And so there's a reason we kind of started on the pricing side is we believe that plays into ultimately any product that we would look to launch. It's critically important that we have a transparent pricing framework for folks to understand the value of those assets.
Kenneth Hill: Thanks, John. Thanks, Ed.
Operator: Thank you. And the next question comes from Mike Carrier with Bank of America.
Mike Carrier: Good morning, and thanks for taking the question. Just on the midterm outlook for organic revenue growth of 4% to 6%. Is that total revenue growth? And then if so, can you just provide a bit of perspective on how that breaks down on the non-transaction side versus the transaction side? And then areas where you're more confident on the transaction front? Thanks.
Brian Schell: Yes, I'll start with that. Thanks for the question. As we think about that, it's -- we know that first we'll start off with the -- that medium term target. And it's not obviously a next year guide, because we know that sometimes there's unpredictability in transaction revenue quarter-over-quarter or even a few quarters over time. So that's why we want to make sure people understood our view over a called a medium term. And also it's incredibly consistent with actually what we've achieved over the last 4 years as Ed kind of referenced to earlier. I would say that, we -- it's going to be a combination. We already laid out the non-transaction revenue growth expectation. As far as our proprietary products -- excuse me, the proprietary market and access capacity fees, how we laid that out. Obviously, you have -- for us, you have the SIP, the take plans, which is at best probably flat, and then you have the remainder being made up on the transaction revenue side. Again, that is over time, versus any one period of time. So that's I think if you look at the primary drivers of how that looks, and what we've achieved, but again, it's we're looking to -- as you can just see the math and you do the numbers is that, look, there's going to be more recurring revenue as we continue to build that, you're seeing a more diversified revenue base. And frankly, it's just -- it's a higher conviction that over time that we're building that sustainable revenue, and that's how that's growing. And you're going to have the impact of the acquisitions that we talked about, which again, is not in that organic number. But is that rolls into that number over time. Again, we feel good about how that continues to grow as well.
Mike Carrier: All right. Make sense. Thanks.
Operator: Thank you. And the next question comes from Ari Ghosh with Credit Suisse.
Ari Ghosh:
,:
Ed Tilly: Thanks, Ari. Great question. I'll start with the first and then invite John and Chris on the ISG, in particular. The products segment, I think if you -- just take a half a step back, and what we discussed primarily for the three quarters of last year after the huge volumes and volatility spike in the first quarter was institutions told us that they’re on the sidelines, there's too much uncertainty out there, right. If you think about this pandemic just being defined U.S elections on the map an uncertainty there, led to a runoff election, Brexit coming, going closing, not closing. And told us once some of those uncertainties were passed, that there'd be reengagement that there needs to be and there's a demand for exposure and more broadly in the U.S market. And that's what we're seeing in January. So just basically a feeding back directly from those institutional users and their plans moving forward, and we're seeing that engagement. So that's really not surprising to us. Stressed, I think, maybe your word probably a little bit too much of a reach. I think we're seeing more broadly, interest in short-term moves and volatility, a lot of that led by the volatility in single names, raising volatility overall. And then we look at VIX options, we see interest in buying puts, when people realize or investors realize cash that spike, don't think that's sustainable. We saw that last week, and we saw put buying, and sure enough, investors in this cycle tended to be right. So we see engagement across now a variety of macro trading cycles, and I like it. The engagement is up and down, our institute -- our proprietary products led by institutions reengagement. So, I don't think I'd call any segments out, or not reengaging, maybe some slower than others, but it's engagement each and every day. And we'd like to see what we're seeing in January, I'd love to see that continue. Chris, and John, maybe on the ISG question.
Chris Isaacson: Yes, just as we think about engaging with customers, not just institutions, but customers in general, ISG just fits so nicely with our products because usually starts with data. And we have unique data sets to give them. And then once they have data, and they've proved out whatever model they might be looking at our investing strategies in to access, choose invested a lot in Silexx and other tools. And then they need to manage risk once they get positions on and we have what we think is a complete risk management suite for them to manage position. So to get data that access and then managing your portfolio with risks and we feel like we have a full suite for them to really engage and use our products in a very efficient and effective manner. And I'll end with offering unique products, an example would be FLEX there, for instance, which is getting a broad use for target outcome investing. I just think it's an example of us using our products and our tools to offer a product that appeals to certain customers, where they're looking for specific outcomes and really leading and inventing in our space.
John Deters: Ari, I will jump in as well, this is John. I think on the ISG question, really to Chris's point, when we think about them, it's not just the ISG acquisition. But when we think about M&A, we think very deeply about how the asset fits into the machinery of our broader network. And in this case, really there's a tight fit with those acquisitions because what they do is they drive the decision making process for largely institutional investors on that side. This is a long-term trend. It's not an -- it's not a 1-year trend, not a 2-year trend. We're in the middle phases, I'd say, of institutions automating their decision making processes, especially for complex instruments, like those that drive our proprietary product revenues. And so automating things like the pricing evaluation process, risk mitigation, margin processes, we're giving tools to institutions to allow them to automate their processes and engage more deeply in our product set. So we see a lot of long-term potential. And remember, we're doing this all the while, while we extract revenues because there's value in the product itself. So not only are people trading more as a result of the ISG products, but the ISG products themselves have value and they are contributing to our growing base of recurring revenues.
Ari Ghosh: Appreciate all the color. Thanks all.
Operator: Thank you. And the next question comes from Alex Blostein with Goldman Sachs.
Alexander Blostein: Great. Hey, good morning, everybody. I was hoping we could spend a minute on your capital priorities as you think about '21. I know Brian each had kind of broader strokes, nothing has really changed. But you guys obviously been pretty active on the M&A front in the last couple years. Leverage came up a little bit as well. So maybe help us kind of walk through the use of free cash flow over the next sort of 12 months between deleveraging return to shareholders and anything else on the M&A front?
Brian Schell: Yes, thanks. Good question. Again, just reiterating, and the strength of the cash flows that we generate will continue to deploy those which, again, with the approach of achieving that long-term shareholder value growth. I think what you have seen is that conviction to deploy the capital to enhance the growth, global network standpoint, from a product, from an access, organically, inorganically, again, trying to make sure we're leveraging our infrastructure to grow for the long-term. And part of the keeping that balance sheet, I'll call it low leverage, is that if there's something that does become attractive is that makes sense. We want to make sure we could potentially deploy that capital. But absent that, again, the prioritization really hasn't changed. It's a continuing dialogue. Again, we have with the Board, we have the management team, you see it reflected in the share repurchase increase with the growing -- with the confidence and outlook for the stock is growing the repurchase authorization. But again, the prioritization of -- look, it's we're going to focus on organic initiatives, as we’ve talked about. It's been the focus of the call today and our guidance going forward. We always continue to have a commitment to that an annual dividend increase. We again -- and then with the share repurchase, as I mentioned, we'll continue to look for that to be opportunistic. Depending on where all those ranks -- excuse me, where that last one the share repurchase and delevering, I personally don't see as much value in delevering today versus say, for example, absent anything else continue to return cash to shareholders. So delevering from where we are today is not, I would say a big focus of that capital deployment.
Alexander Blostein: Great. Thanks very much.
Operator: Thank you. And the next question comes from Brian Bedell with Deutsche Bank.
Brian Bedell: Great. Good morning, folks. Thanks for taking my question. Maybe wanted to tie expenses and revenue together. So just quickly -- just on the expense outlook, is that -- are you considering the January trends in the expense forecasts just, I guess, a flavor of kind of the volume outlook you have for '21. But then on the strategic growth initiatives, Brian, what's the thought on the payback on timing of revenue -- gaining revenue attributable to those expenses? And if you can also talk about the European Derivatives effort in terms of when do you think you'll have positive revenue there after obviously market maker payments?
Brian Schell: Sure, thanks. I'm not sure I understood the first part of your question about the …
Brian Bedell: Just on the 531 to 539 expense guide, are you making essentially a strong volume environment that we're seeing here in January, given that you were calling for retail trading to be and institutional investors to come back in the market and -- I get the view was that this would be a sort of more sustainable revenue trading environment.
Brian Schell: Okay. So if I think I understand that, I would say that January, and I know I may be flip with my response, doesn't make a year. So that has been strong volumes. And so it does certainly play into how we thought about the year and what can be achieved. So having that as a backdrop, we're not using January to inform our entire year and what we're doing, but there's obviously some trends that we're seeing continue on. As Ed talked about, as the rest of the team has talked about from the institutional activity, from the retail activity on a go-forward basis and the various products and the various asset classes. As far as the investments and outlook and where do we expect to see the return, how long, and that will vary by each product as we talked about it, and Ed mentioned the worthy investment priorities were with respect to non-transaction revenue growth, European Derivatives build out, the BIDS expansion, the retail, the 24x5, extended trading hours, all of those things are coming more or less online as we talked about in 2020 and more in the latter half of 2020. And we said these are investments in '20 for a -- excuse me, in '21, for a '22 kind of more significant growth contributions for revenue. So it can't go right now and say it's going to happen in this quarter other than there's a possibility that, yes, we're going to expect to see some revenues in '21. But again, it's later in the year, but the real expectation that I think our investment community should have is that it's a '22 revenue growth delivery. And again, what we're looking to make sure that we're delivering on is, at the end of the day, we're trying to have a secular growth of the business. And, again, we see the increasing need for the data and analytics, a need for better access and addressing that demand with a new product, new geography, which again is represented by I think, the four kind of areas that we're prioritizing. So that's a long winded way of saying, I'm not going to give you a revenue guidance as far as '21, and that we expect to start seeing that in '22 and beyond. And obviously -- and this is true with probably with most firms. We see a really, really large ROI on organic activities that especially if we can leverage the existing infrastructure, and leverage the existing network that we have today, and really meeting the demand and access capacity that we see a -- really high ROI and that's again, that's a 2 to 3 year look. And again, that helps contribute to that medium to long-term growth rate that we talked about upfront.
Ed Tilly: So let me see if I can just summarize it a bit. What we see happening in January, as predicted is reengagement at the institutional level. That it's eliminating last quarter's headwind when institutions were on the sideline waiting for uncertainty to pass. Separate and apart from the investment we're making for the future and Brian laid them out, I think 24x5, the extension of BIDS, our continued investment in ISG and obviously our midyear launch of European Derivatives, all in queue and ready to make an impact for us in 2022 and beyond. That's the way we're looking at it.
Brian Bedell: That's great color. Thank you so much.
Brian Schell: Brian, I just also want to hit European Derivatives. We're super excited about this. And it just bears out the statistics in 2020. We're up 50% in the U.S market in terms of European directives, and the European market is flat to down on equity derivatives. It just highlights the opportunity to grow the pie there. It's going to be a build, but it's a super exciting thing for us.
Brian Bedell: And that's starting in later -- from a revenue perspective, later in '21 I think it's what you intimated in the first part of the comments. Is that correct?
Ed Tilly: That's right. So launch midyear, steady build out into the back end of the year.
Brian Bedell: Okay. Great. Thank you.
Operator: Thank you. And the next question comes from Chris Harris with Wells Fargo.
Chris Harris: Great, thanks. Can you guys share your view on what a change in the SEC leadership might mean for the industry and Cboe specifically?
Ed Tilly: Let me start with more broadly. The SEC and the long-term view and relationship we've had, I would sum it up as an incredibly healthy tension where both the SEC and Cboe put the investor, the retail investor first and foremost in our thinking is in our day to day, it's in our operations, it's in new product development, it's an order handling, it's an all our comment letters. We both have been aligned with trying to do what is best for a market structure wise the investing public. I think that will continue our expectation of the new chair as he's putting together his team will be a very healthy relationship with his frontline, the listed exchanges. We are where price discovery happens. I'm sure this Chairman and his team will understand that. And I'm looking forward to just some incredibly healthy dialogue. So very optimistic going into the change. Chris, operationally, I think what I hope continues is the engagement we've seen in the SEC primarily this year about the lit exchanges and how what an incredible role they've played in maintaining stability in the most uncertain of times. I hope that continues. I think it will, but Chris, I think the amount of time the team at the SEC has spent with us in regular calls, updates and communication is a model for the future. But a couple words from you I think operation is important.
Chris Isaacson: Yes, Chris. So we've a great dialogue -- continued great dialogue with the commission staff. We look forward to continuing to work with them. Obviously in January, we saw record volumes and across many asset classes, U.S equities, U.S options, just incredible volume really. And really the market structure worked as designed. And I think we will see the SEC focused on investor protection, investor education, which very much aligns with what our goals are as well, which is investor education, empowerment and making sure the market structure is serving the investing public well, and that's really lit markets at the center of it. And those lit markets, and CCPs, et cetera, they showed very well in January despite some kind of unprecedented events.
Chris Harris: Okay. Thank you.
Operator: Thank you. And the next question comes from Owen Lau with Oppenheimer.
Owen Lau: Good morning. Thank you for taking my question. So a quick one from me on Slide 14. Your organic growth for recurring non-transactional revenue was 9% in 2020. What are the factors that make you to guide only to -- 6% to 7% in 2021. So are you being conservative? Or they are like any reasons you want to call that would slow down the growth? Thank you.
Brian Schell: No, I would say that we actually are still pretty pleased with the kind of that mid to high single-digit growth rate. We -- as that base gets larger, as you know, there were some -- we continue to look at our penetration is where the opportunity is, obviously, coming out of the gate, we look at our pipeline, we look at where we are. We are going to be conservative, where we are. But we're still pretty pleased with that growth rate. We still think there's opportunity. We still look at where we are from a geographic standpoint. As far as where are we seeing growth coming across the asset classes, where they're coming across the U.S., EMEA, APAC and where it's generating those growth targets. You've heard Ed and Chris and John talked about the ISG opportunities that are out there from the index services and the historical data sets to the new data and analytic services and expanding the customer base. So again, we actually liked that growth rate. And some of that is a normalization from the growth rate from where we were from the prior year with some of the acquisitions. But overall, I think it reflects a very, very good expectation for a go-forward basis.
Owen Lau: All right. Thank you very much.
Operator: Thank you. And the next question comes from Kyle Voigt with KBW.
Kyle Voigt: Hi, good morning. Kind of just follow-up on the prior SEC question. Market data infrastructure reform was passed in December. Obviously, there's a really long road to potential implementation. But how should investors be thinking about your SIP fees under a competing consolidator model? Or maybe your prop data revenues if there's more depth of book eventually included?
Ed Tilly: Maybe, Kyle -- there you go, Chris. Thanks.
Chris Isaacson: Yes, Kyle, I'll jump in on that. So we've made our views on both the governance -- the government's proposal order as well as the infrastructure rule, pretty clear in all of our comments letter. So I'll refer you to those. We have broadly been supportive of increasing the quality of the content of the SIPs. And over the years have been very supportive of improving the technology as well. So -- but we do differ on certain points with the SEC on both the governance and infrastructure proposals. So we think there's opportunity for the SIPs to continue as they are, with some enhancements as well as our proprietary market data that continue to be valuable for those who decide to purchase it. We don't see them as mutually exclusive. We see them as complimentary.
Operator: Thank you. And the next question comes from Chris Allen with Compass Point.
Chris Allen: Hey, morning, guys. I wanted to ask about the impact from acquisitions next year. The 4% to 6%, I think equates to about $50 million to $75 million of incremental revenues. Just wondering what was the revenue generation so far this year? And what are the different components? I think BIDS trailing 12-month revenues, we're running about $42 million as of June. Then, Euroclear second half of this year is about $14 million. It's $20 million annualized in equities, another $7.5 million annualized basis. So just wondering what are the different components and getting numbers a little bit higher than what your guidance implies.
Brian Schell: I'm sorry, Chris. Was your number -- I’m sorry, your question was specifically around '20 or -- I'm not sure I got that.
Chris Allen: Yes, what was the revenue -- yes, what's the revenue -- what was revenue contribution from deals in 2020? And then what's baked into your expectation for the 2021 impact, which is about $50 million to 75 million. Just because BIDS impact and then the run rates and the current deals that we can see implies about $77.5 million, and that doesn't assume any impact from the derivatives rollout in Europe or any growth.
Brian Schell: Well, right, the derivatives role, and you're correct, the derivatives role is purely was more of the expense as we roll that off, as far as -- excuse me, as we roll back into the overall -- in expense guidance. I think the 4% to 6% rate for going forward, I mean, I think that's more of a math question. So I think I'm not sure what additional color I can provide there as far as what that looks like. And then as you look at the 2020 numbers, I don't know, if I have the total dollar amount in front of me as far as the specific 2020 contribution. I can certainly get that too, I just don't have that number all aggregated from each of those individual. I'll just say that the run rate on a go-forward basis, again, is we feel good about that 4% to 6% range. And with all the announcements that we've had around, including the BIDS numbers that we gave you, but we can certainly follow-up on the specific detail that's included in the 2020.
Chris Allen: Okay. Thanks.
Operator: Thank you. And the next question is a follow-up from Alex Kramm with UBS.
Alex Kramm: Yes. Hey, thanks. Sorry, just a couple of quick follow-ups to end the call here. These are housekeeping questions. Coming back to the EuroCCP, can you just flesh out what happened there sequentially? In terms of the revenues, I think they were down quarter-over-quarter decent amount, but cleared volume was up. You don't provide a lot of revenue capture metrics there. So anything you can help, so we model that stuff better. And then speaking of BIDS, again, as this comes in now, can you just help us the geography of the -- in your income statement, or rather in your segments, I mean, there's the U.S and the Europe business. You’re going to break this up or where should we be including this for the time being? Thanks.
Ed Tilly: So the '20 for the -- this is going to roll up into North American equities is where we're going to see that, and we'll provide as much kind of colors we can around the metrics there. So look for that kind of go-forward basis with our volume release. On the overall EuroCCP revenue and the volumes -- and the revenue, we were up. We saw a little bit as you'll see with the capture, and over time we will provide more and more color as far as some of the -- with the capture and the metrics that go there. But anytime we see with some of the volume increases, you're going to see a little bit of mix shift within the fee schedule with respect to tiers, types of clearing, types of settlements. So overall, we're actually pleased with the 3Q to 4Q growth rate. The 3Q actually had a little bit of a lift because of a liquidity credit that we're able to take advantage of in 3Q. But from a pure, I'll call from a transaction basis, we actually had a nice lift overall in revenues.
Alex Kramm: Okay, thank you.
Operator: Thank you. And the next question is a follow-up from Rich Repetto with Piper Sandler.
Rich Repetto: Yes. Good morning again. First, I would just want to say it was a one conscious, I didn't -- can make the connection between Bats in Kansas City, but I didn't mean to offend you might Kansas City friend.
Brian Schell: We are trying to forgive you, Rich.
Rich Repetto: Okay, but I do really have a follow-up. And the question is on the -- there's been a number of questions on the retail, frenzy that we've seen in trading and all the issues that are around it. But I guess I wanted to ask you, Ed or Chris, what do you see as potential solutions to it? That is the yes. I don't know that you can do or the SEC or anybody else.
Ed Tilly: Rich, I don't think …
Rich Repetto: Do you need a solution, yes.
Ed Tilly: Great. Good way to put it, I think, I don't know that I categorize as solution, transparency, education, what is the hunger? Why -- what is the motivating factor on some of these investment decisions? What is the duration? What's the goal? I think that my reference to investing in retail is understanding the exposure that retail is looking for, understanding the strategies and being able to bring to market contracts and exposures that are directly focused on what the retail investor of today is looking for, which is different, perhaps in the retail investor of yesterday. So for us, as I've said, we continue to say Rich, and I love the question because it's a great way to wrap this up. We can solve everything with education and transparency, we truly can. And our options institute is armed and ready to engage with new retail, our research and development team are engaged with and we teased that we're looking at contracts to bring to the market that address the needs of the new retail investor. That's what we're going to be focused on. I don't think there's a fixing that needs to be done out there. But education certainly does provide for a day in, day out, year in, year out investor who's engaged trading suitable contracts. And once that we will help them with the basics as I say sophisticated strategies will then follow.
Rich Repetto: Okay, okay. Thank you very much. Go, Brady.
Operator: Thank you. And the next question is a follow-up from Kyle Voigt with KBW.
Kyle Voigt: Hey, thanks for taking my follow-up. Just a modeling question on the -- on other revenues of $13.9 million. Does that increase related to your CCP trade reporting or something else? And then just wondering how sustainable that level is?
Brian Schell: So that's going to be a collection of any number of things. It does have a little bit of the EuroCCP items in it. It's going to -- and that's when you don't -- we don't always have as much visibility to, but it's going to be a collection of matters. And I would say what we do and I'll be honest with from a modeling standpoint, we kind of look at the aggregate and see where the ebbs and flows have been over prior periods and a roll forward basis. It's just not a material item that we look at, but there is a slightly higher contribution from your CCP.
Kyle Voigt: Thank you.
Operator: Thank you. And that does conclude the question-and-answer session. So I would like to return the floor to Debbie Koopman for any closing comments.
Debbie Koopman: Thank you. That completes our call this morning. We appreciate your time and continued interest in our company. I'll be available for any follow-up. Thank you.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.